Operator: Good day, everybody and welcome to the Movado Group, Inc. Second Quarter 2024 Earnings Conference Call. As a reminder, today’s call is being recorded and may not be reproduced in full or in part without permission from the company. At this time, I would like to turn the conference over to Rachel Schacter of ICR. Please go ahead.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer and Sallie DeMarsilis, Executive Vice President, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you the company’s Safe Harbor language, which I am sure you are all familiar with. The statements contained in this conference call which are not historical facts, maybe deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC, which includes today’s press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I’d like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Rachel. Welcome to Movado Group’s second quarter conference call. With me today is Sallie DeMarsilis, our COO and CFO. After I review the highlights of the quarter and our strategies and initiatives for the second half, Sallie will review our financial results and outlook in greater detail. Our second quarter performance reflects our strong execution in a difficult operating environment with net sales within our expectation. The retail environment in our category remained challenging during the second quarter, particularly in the United States and Europe, our largest markets. While economic numbers have remained stable, discretionary purchases have been challenged by inflation and a greater allocation of consumers’ resources to travel and dining. Overall, we remain excited about our second half initiatives, especially our brand refresh at Movado, which I will discuss in greater detail in a moment. However, we are lowering our outlook for the balance of the year given the cautiousness of our retail partners, which is expected to moderate shipments and continued economic uncertainty. Turning to a review of the quarter. Second quarter net sales declined by 12.3% from last year to $160.4 million and our adjusted operating profit was $10.3 million versus $31.4 million last year. From a geographic perspective, sales declined by 12.4% in the U.S. driven by the wholesale channel and by 12.1% internationally. Our balance sheet remains extremely strong with almost $219 million in cash and no debt, allowing us to continue to invest in our brands and regions despite the economic challenges that remain in the U.S. and Europe. For the 6 months, the company generated positive cash flow from operations and a reduction of $33.6 million in inventory from the same period last year. Importantly, we will continue to be extremely disciplined in our expense management. As we had mentioned in our last conference call, we have begun embarking on a brand refresh for the Movado brand and we are very pleased with the progress that we have made. From a product perspective, this fall, we will launch the most important collection of new products in our Bold collection since we first launched Bold over 10 years ago. Included in this introduction is the refresh of our best-selling Evolution family, Evolution 2.0. With new sharper price points, the collection now opens at $595. We are also refreshing the original Bold TR90 collections with a brand new and exciting design in a variety of color ways. In addition, at the top end of our Bold assortment, we are launching a new titanium diver that will retail at $1,495. In our Movado core collection, we just launched a museum classic Chronograph collection that has gotten off to a very strong start. As I mentioned earlier, we’re introducing a total brand update for the Movado brand, which includes new marketing initiatives that we’ll roll out over the next few quarters, beginning with the launch of our new brand-building campaign in September. As part of this initiative, we will return to magazines for the first time in a number of years. In addition, we will launch an outdoor campaign in New York, Miami, Los Angeles and Chicago to complement our strong presence in digital campaigns. During the fourth quarter, we will round out the campaign with a significant program in both linear and digital TV. This will be the most significant investment we have made behind our flagship Movado brand in several years. While recent history has demonstrated the significant shifting where consumers consume media, we believe that incorporating a broad media mix is important to our brand-building efforts as we have found that our customers engage with multiple media outlets. During the quarter, it is important to note that our movado.com business returned to growth. With a challenging retail environment in North America, we experienced a single-digit decline for both the quarter and year-to-date period in our outlet stores, where we’re up against a strong spring from last year. We have also intentionally slowed down the growth of our digital outlet channel, where we believe we were opening with products that were too sharply priced. As always, we will take the right decisions for the long-term health of our brands. In our fashion brands, we continue to deliver innovation with compelling value, and we’ll support our licensed brand partners with strong regional marketing programs to build category awareness for our powerful licensed brand portfolio. For the fall, we have strong marketing initiatives planned in our key European markets, supporting both our watches and jewelry in digital venues, billboards and at the point of sale. For the quarter, Europe remained challenging, while we saw strong results in India and the Middle East and a return to growth in China. In Tommy Hilfiger, we have seen a strong performance from our spring introductions, particularly our opening price points. For the fall, we’re excited about the introduction of Clark for him and Lexi for her, both multifunction models that begin at $189. The HUGO BOSS brand continues to amplify its messaging, and we are continuing to partner with them on these efforts. We have seen a strong reception from consumers to our Troper and Gregor families. For the fall, we will continue to support these 2 leading families as well as introduce the new top Chronograph collection and our new Candor Automatic Sport Lux family opening under $400. For BOSS, we will amplify our messaging at the point of sale as well as supporting the brand with our digital marketing efforts. We are excited that for this holiday season, we will partner with the new BOSS brand ambassador, Suki Waterhouse. In Coach, we have seen success with our Cadie family. For the fall, we are introducing our new Elliot family both for him and her. Elliot is a strong collection, which opens at $125. We are continuing to partner with Jennifer Lopez on our Coach marketing efforts globally and with Curley Gao in China, where we have seen strong growth during the first half. Lacoste is performing very well at retail, where we have seen strong sell-through of our third generation of our Lacoste 12.12 collection inspired by the brand’s iconic polos. We have also seen excellent results from our introduction of Lacoste jewelry for both men and women. This fall, we will introduce 12.12 automatic collection retailing at $255 and a new sporty diver family called Spin. In Calvin Klein, we are pleased with the progress for our second year of our introduction into the watch and jewelry category. This spring, we saw strong retail sales performance of our featured Sensation family with a uniquely shaped case design. For men, our leader has been Black, a multi-eye modern design. This fall, we will be supporting the brand with our new campaign in digital and outdoor, featuring model and fashion influencer, Lila Moss. In Olivia Burton, we are well into our brand refresh across all consumer touch points in the UK and the U.S. with all new product families, new point of sale and packaging and a new marketing campaign. We remain confident we are heading in the right direction and are seeing strong results on our website and from our key retail partners. While the beginning of the year was very challenging, we knew that we were comping against a very strong first half last year and with easier compares in the second half. We remain committed to our strategy and believe in our brand-building efforts to drive increased customer awareness and yield results over the medium and long term. We are very excited around the plans that we have put in place for the second half of the year in our new product initiatives, sharper values across our brands and creative marketing programs. While we are operating in a challenging retail environment in our largest markets, we feel that it is important to invest in supporting our brands and company for the long-term. We are particularly excited about our brand-building efforts to support the Movado brand. We are willing to make this investment in order to ensure that our business will remain strong as the economic environment improves. Our strong balance sheet allows us to do that while continuing to return value to our shareholders through our dividend and share repurchase program. We will still operate prudently and diligently manage our operating expenses as we have done in the past. I would now like to turn the call over to Sallie.
Sallie DeMarsilis: Thank you, Efraim, and good morning, everyone. For today’s call, I will review our financial results for the second quarter and year-to-date period of fiscal 2024, and then I will provide an update on our outlook for the year. My comments today will focus on adjusted results. Please refer to the description of the special items included in our results for the second quarter and year-to-date period of fiscal 2024 and fiscal 2023 and our press release issued earlier today, which also includes the reconciliation table of GAAP and non-GAAP measures. Overall, our performance for the second quarter of fiscal 2024 was within the lower end of the range provided on our previous earnings call as our business was negatively impacted by a challenging retail environment and lapping a strong performance last year. While down year-over-year, we maintained an extremely strong balance sheet. Turning to a review of the quarter. Sales were $160.4 million as compared to $182.8 million last year, a decrease of 12.3%. In constant dollars, the decrease in net sales was 13.8%. Net sales decreased across owned brands, licensed brands and company stores. By geography, U.S. net sales decreased 12.4% as compared to the second quarter of last year. International net sales decreased 12.1%. On a constant currency basis, international net sales decreased 14.9% with continued softening in our largest international market, Europe, partially offset by strong performances in certain markets, such as the Middle East, India and travel retail. Gross profit as a percent of sales was 55.7% compared to 58.5% in the second quarter of last year. The decrease in gross margin as compared to the exceptionally high gross margin results of the same period last year was anticipated and was primarily driven by the deleverage of higher costs, higher fixed costs over lower sales, unfavorable channel and product mix and the unfavorable impact of foreign currency exchange rates. The unfavorable channel and product mix from the prior year period reflected sales shift from our relatively higher-margin brands to our relatively lower-margin brands as well as lower sales in our higher-margin channels. We expect this tough comparison to continue into the third quarter when we’re up against the same period of last year. Operating expenses were $79 million compared to $75.6 million for the same period of last year. The increase was driven by an increase in payroll-related costs, partially offset by lower marketing expenses and a decrease in performance-based compensation. As a result of the reduction in sales and gross margin, operating income decreased to $10.3 million as compared to $31.4 million in the second quarter of fiscal 2023. We recorded approximately $1.4 million of other non-operating income in the second quarter of fiscal 2024, which is primarily comprised of interest earned on our global cash position. We reported income tax expense of $3 million in the second quarter of fiscal 2024 as compared to $6.6 million in the second quarter of fiscal 2023. Net income in the second quarter was $8.5 million or $0.38 per diluted share as compared to $24.6 million or $1.07 per diluted share in the year ago period. Now turning to our year-to-date results. Sales for the 6-month period ended July 31, 2023, were $305.3 million as compared to $346.2 million last year. Total net sales decreased 11.8% as compared to the 6-month period of fiscal 2023. In constant dollars, the decrease in net sales was 12.1%. International net sales decreased 10.2% or 10.6% on a constant currency basis, and U.S. net sales declined by 13.9%. Gross profit was $171.3 million or 56.1% of sales as compared to $203.6 million or 58.8% of sales last year. The decrease in gross margin rate for the first 6 months was primarily due to unfavorable channel and product mix, the unfavorable impact of foreign currency exchange rates and a deleverage of higher fixed costs over lower sales. This was partially offset by decreased shipping costs. For the 6 months ended July 31, 2023, operating income was $21.9 million compared to $57.4 million in fiscal 2023. We recorded approximately $2.3 million of other non-operating income in the 6-month period of fiscal 2024, which is primarily comprised of interest earned on our global cash position. Net income was $18.2 million or $0.80 per diluted share as compared to $43.7 million or $1.89 per diluted share in the year ago period. Now turning to our balance sheet. Cash at the end of the second quarter was $218.9 million as compared to $203.1 million at the same period of last year. During the first 6 months of fiscal 2024, we had positive cash flow from operations of $9.2 million. Accounts receivables was $95.8 million, down $4.9 million from the same period of last year, primarily due to the decrease in sales. Inventory at the end of the quarter was down $33.6 million or 15.6%, although the same period of last year due to the timing of repeat and is aligned with sales. In the first 6 months of fiscal 2024, we repurchased approximately 16,000 shares under our share repurchase program. $20.6 million remain available under that program. Capital expenditures for the 6-month period were $4.6 million, and depreciation and amortization expense was $5 million, which included $1.3 million related to the amortization of acquired intangible assets of Olivia Burton and MVMT. Now I would like to discuss our outlook. As Efraim mentioned, we are operating in a challenging retail environment with inflation continuing to affect the purchases made by consumers of discretionary products, especially in our key markets, the United States and Europe. Our net sales are currently expected to be in a range of $690 million to $700 million, resulting in our second half sales being down low to mid-single digits as compared to last year. This is an improvement from the first half decline of 11.8%. We expect gross profit of approximately 55% of sales for the year. As previously discussed, we are planning to prudently invest in our brand-building initiatives while we continue to tightly manage our discretionary spending. And therefore, we expect operating income in a range of $62.5 million to $65 million. Based on our global footprint and our estimated jurisdictional taxable income, we anticipate a 23% effective tax rate with an expected range of earnings of $2.15 to $2.25 per diluted share. I would now like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first questions come from the line of Oliver Chen with TD Cowen. Please proceed with your questions.
Oliver Chen: Hi, Efraim and Sallie. Good morning.
Sallie DeMarsilis: Good morning, Oliver.
Oliver Chen: You called out the U.S. consumer as well as just thinking about the consumer and weakness, yet the results were in-line with your expectations. Would love your thoughts on what’s changed since the past quarter and what you’re seeing in the environment. Also Efraim, on the product innovation, it sounds like you’re really focused on opening price points. Would love your thoughts on that and what you need to do. Those are some first questions, and I have some follow-ups. Thanks.
Efraim Grinberg: Yes. I think – look, I think our feeling throughout the year is that the consumer has been challenged. And I think with higher interest rates, inflation, you’re seeing an increase of challenges to the consumer on discretionary purchases. And so we are being cautious in terms of our expectations on the consumer returning on discretionary purchases. We also – our experience is that as economic growth slows, consumers become more value-oriented, and our experience in the past has been that we have been successful with entry-level price points, but really strong innovation along those platforms. So – and it’s something that we are focused on both in the United States and globally as well.
Oliver Chen: Okay. And specific to channels, Efraim, what are you seeing in U.S. wholesale? And how might you contrast also relative to outlet? And then on the international, are there trends that you want to call out between north and south or regions that are stronger versus weaker?
Efraim Grinberg: So, I will start with the international first. I think Europe for us is running more consistent to the U.S. market. And so it’s been a little more challenging than the rest of our international footprint. So, we are seeing very strong growth in India, which was a subsidiary that we launched a year ago. We are seeing continued strong results in the Middle East and continued strong sell-through in Latin America and Mexico. So, those markets are going very well for us. China is a small market for us, but it’s returned to growth. We continue to invest in China in our most important licensed brands in the market as well as behind the Movado brand. And then on the U.S. side, I think wholesale has been a little more challenging. And then that’s true in Europe as well, where retailers are – and as they should be, are being cautious and focused on managing their inventories very prudently. I think that we have really strong marketing initiatives both in – across our licensed brand portfolio. And I am really excited about what we are doing to reenergize and support the Movado brand, and we will launch that campaign in September as well as a complete brand refresh of the Movado website at that time.
Oliver Chen: And Efraim, on refreshing Movado brand, what are you thinking it needs most? What’s your hypothesis there? And longer term, how – what will be the path to return to revenue growth? What will be the keys there, in your mind, any thoughts around timing? We will see likely easier compares?
Efraim Grinberg: Sure. I think returning to really reenergize on the marketing front of brand with investments in media will prove to be very successful for the Movado brand. And we have moderated those investments over the last few years. And as I said, we are upping that quotient for this holiday season and really for the foreseeable future. But I am really excited by the product assortment. It’s been as good as we have had on the product front in the Movado brand. And we are really excited about the total brand refresh that we are doing. And again, it’s an evolution. It’s not a revolution of the brand. But having a robust marketing mix and media plan will really help support the brand for the holiday season and into the future.
Oliver Chen: Okay. And Sallie, as we model 3Q versus 4Q, could you help us understand if there is any comparisons that we should be aware of? And also, will we just expect a less negative 4Q? Would love your thoughts on the revenue line as well as some of the key gross margin headwinds as well as tailwinds. And also inventory relative to sales growth, how do you see that evolve for the back half?
Sallie DeMarsilis: Okay. So, I am going to start backwards just so I don’t miss any of your questions. On inventory, we were – the timing between last year’s purchases and this year’s purchases were very different. So, we were able to moderate our incoming purchases this year, and you can see we are much better aligned with inventory at this point. We will – as we head into the holiday season, it is – we are still very much a wholesale business. So, we will be back in the inventory business in the third quarter to support our channels, but we will have them be more – all of our purchases will be more in line with these forecasts straight through to the year-end. So, we will keep an eye on it. There are lead times that we have to live with, but definitely more in line with where our sales plans are. As far as the two quarters, they are both very important to us, third quarter and fourth quarter. There generally is a little bit of a balance between those two, third quarter and fourth quarter. Third is obviously very important to us as we fulfill our wholesale commitments and fourth quarter, obviously, more of a direct-to-consumer. So, it should be more balanced with our normal cadence through the quarters. We should see an improving comparison against last year, though, in both third quarter and fourth quarter as we get towards the end of the year. And as far as margin, we are going to see really the same comparison challenges to last year. Last year was an exceptionally high gross margin year. So, this year, when we talk about things like our mix or our deleveraging of cost against a lower net sales number is going to continue in the next two quarters. So, we should see something very similar to what we have experienced in the first half of this year.
Oliver Chen: Okay. That’s really helpful. And on holiday, Efraim and Sallie, what do you see happening in terms of holiday planning and key thoughts around the consumer as well as like is inventory tightening going to be ongoing at your wholesale partners?
Efraim Grinberg: I think for holiday, as I have said for a long time, Christmas always comes on December 25th, Hanukkah comes sometime before that as well as other holidays. So, people do buy for those holidays. And our retailers were in the business to support their consumers. And I think they will buy appropriately given the environment for holiday. I do expect that holiday, we are comparing against some weaker numbers last year during the holiday period. So, I think things will start to fall into the balance. And – but there remains a level of uncertainty out there with interest rates, with inflation, with the political environment as well. So – but I think you always have a stronger holiday in terms of sell-through in Q4 than in Q3. So, I would expect that – I definitely expect that to occur again.
Oliver Chen: Okay. And on – this was an earlier question, a follow-up to a follow-up. The average unit retail, as you think about your portfolio, should we assume that the overall AUR may go down or will hold and be offset by transactions? How does it sum up for the bottom line on some of these changes you are making? That would helpful as well.
Efraim Grinberg: So, I think what we are doing is we are backfilling some entry-level price points that we have vacated. But I think overall, we will see a flattish AUR over the next year. So, I am not – I think that it’s not – a lot of different – it’s not a big bulk of our offering, but it enables consumers who are more challenged to enter the brand at accessible price points.
Oliver Chen: Thanks. And last question, you have a really strong balance sheet. It’s always been a hallmark of your financial perspective, just thoughts on cash and how you are thinking about free cash flow generation and return to shareholders. Thanks.
Efraim Grinberg: So obviously, our dividend continues to remain very important to us. And so that is part of our balance sheet as well as share repurchases. And – but I think it is that balance sheet that allows us to feel comfortable to focus on medium and long-term initiatives when times become more challenging that yield overall long-term value to shareholders.
Oliver Chen: Okay. Very excited to see both back, best regards. Thanks.
Efraim Grinberg: Okay. Thank you very much.
Operator: Thank you. There are no further questions at this time. I would like to hand the call back over to management for any closing remarks.
Efraim Grinberg: Okay. I would like to thank all of you for participating with us today. And those in the United States, I wish you a very good upcoming holiday weekend and the end of the summer. Thank you very much and we look forward to talking to you in our third quarter conference call.
Operator: Thank you. That does conclude today’s teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.